Operator: Good day, ladies and gentlemen, and welcome to the National Oilwell Varco Third Quarter 2020 Earnings Conference Call. [Operator Instructions]. I would now like to introduce your host for today's conference Mr. Blake McCarthy, Vice President of Corporate Development and Investor Relations. Sir, you may begin.
Blake McCarthy: Welcome, everyone, to National Oilwell Varco's Third Quarter 2020 Earnings Conference Call. With me today are Clay Williams, our Chairman, President and CEO; and Jose Bayardo, our Senior Vice President and CFO. Before we begin, I would like to remind you that some of today's comments are forward-looking statements within the meaning of the federal securities laws. They involve risks and uncertainties, and actual results may differ materially. No one should assume that these forward-looking statements remain valid later in the quarter or later in the year. For a more detailed discussion of the major risk factors affecting our business, please refer to the latest forms 10-K and 10-Q filed with the Securities and Exchange Commission. Our comments also include non-GAAP measures. Reconciliations to the nearest corresponding GAAP measures are in our earnings release available on our website. On a U.S. GAAP basis, for the third quarter of 2020, NOV reported revenues of $1.38 billion and a net loss of $55 million. Our use of the term EBITDA throughout this morning's call corresponds with the term adjusted EBITDA as defined in our earnings release. Later in the call, we will host a question-and-answer session. [Operator Instructions]. Now let me turn the call over to Clay.
Clay Williams: Thank you, Blake. U.S. drilling activity during the third quarter of 2020 was the lowest measured since records were started in the early 1940s, making this the worst quarter in the past 300 or so. The COVID-19 pandemic response kept a lid on air travel and business activity, which depressed global oil demand, and in turn, diminished demand for NOV's products and services. NOV's consolidated revenue declined 7% sequentially, and EBITDA fell to $71 million or 5.1% of sales during the quarter ended September 30, 2020. Although a vaccine and normalizing oil demand seem more likely than not in 2021, our customers, like us, are cutting costs and exercising extreme austerity in the near term, which led to modest orders during the third quarter. The company realized only 38% book-to-bill on a consolidated basis. Fortunately, though, we are seeing rising inquiries in our Completion & Production Solutions segment that we expect to lead to increased orders. And the Rig Technology segment already surpassed its total Q3 orders level during the first few weeks of October. New products are helping drive demand for both segments. For the past few quarters, we sought to be clear and transparent in our communications with you on what we are doing to navigate this historic downturn, namely: one, aggressively and proactively downsizing and reducing costs; two, reducing working capital and CapEx to maximize cash flows; three, maximizing liquidity; and four, continuing to invest in research and development and new products to position the company for the inevitable upturn. I'm pleased to report that we continue to exceed our targets on cost reductions. We have reduced our global facility footprint, workforce and support services, making our operations leaner and more efficient. We also continue to prune businesses that are not yielding adequate returns. We've shared a lot of data around these costs and cash flow efforts with you on past calls. On the other hand, we've talked far less about our new product investments, which we've been careful to sustain because they will form the foundation of NOV's growth going forward. At our core, what NOV does is build franchises that possess sustainable competitive advantage. Market leadership frequently lends scale advantages, a status NOV enjoys. However, market leadership also carries the responsibility of technical leadership. Our customers expect us to push the envelope on technical innovation to improve efficiencies and cash flows for their operations. Knowing this, we have sustained our investment in new technology through the downturn. And I'd like to tell you about a few new technologies we are bringing to market. Hydraulic fracture stimulation is a critical part of unconventional shale production. The shale revolution is built on fracking. The industry has been experimenting with the use of lease gas to power fleets with electricity to reduce gas flaring, carbon emissions, fleet maintenance costs and diesel expense, which can run well over $1 million per month. Generating power on-site to run electric motors that, in turn, drive pumps instead of conventional direct drive diesel engines and transmissions can reduce mechanical complexity and maintenance costs. We've already seen this work in the drilling space, driving the evolution of drilling rigs towards AC electrification between 2005 and 2015. Throughout that period, the largest best capitalized drilling contractors at the behest of their customers, the E&P companies, embraced this AC electrification improvement and invested in new rigs. Then something really interesting happened. They looked around when it was done and from their space reasonably well consolidated. That's because only a handful of smart drillers could afford the price of admission to this new AC rig world, but those that made the leap clearly benefited. If you don't believe me, take a close look at Tier 1 land rig day rates between 2015 and 2019. Despite the downturn, day rates remained very healthy, strong evidence of an improved industry structure. I cite this example because much has been said of the need to roll up the pressure pumping sector across North America shale through aggressive M&A to drive consolidation. In my view, there is another capital-efficient way to drive consolidation, and that is through technology disruption. We hear from E&Ps that they are increasingly -- that they increasingly prefer electric frac to conventional fracturing for environmental, safety and cost reasons. Few years ago, our Completion & Production Solutions segment began work on our ideal e-frac suite to capitalize on this market opportunity, and we brought it to market a few weeks ago. It offers reduced emissions and fuel costs for the operator and lowers total cost of ownership relative to conventional fleets by up to 40% for the pressure pumper. It does this through two means. First, it is designed to have a few electrical connections in the industry, a feature that significantly reduces the need for highly skilled electrical labor at the well site, reduces overall wellsite congestion and safety risk and reduces cable expenditures. Second, the ideal system is designed with significantly higher power density than its market competition. It is the only offering today with a 5,000 horsepower pump designed to fit hand in glove with the best-in-class turbine offerings, resulting in a smaller footprint and lower engine and transmission expenditures. Additionally, this transported in 40% fewer truckloads and rigs up faster, particularly with our FracMaxx, big bore QuickLatch system and FlexConnect frac hose. It requires a smaller footprint and fewer people on site to operate. Engineered for 13.8 kV, it can accept turbine or gas genset power, both utilizing lease gas and minimizing flaring or work off-line power. It's truly power agnostic. Most important, though, is the reduction in total cost of ownership by up to 40% with further improvements expected from its integrated, condition-based monitoring, which will work with the predictive analytics we are actively developing. We know pressure pumpers have limited access to capital, but we also know shale producers are anxious to become more ESG friendly. A shale producer willing to sign a term contract with a pressure pumper, perhaps as short as only 2 years, could drive our first purchase order for a fleet. In the meantime, we've executed an agreement with a major U.S. pressure pumping service provider to test one of our new ideal e-frac pumpers in the field, and we expect to be testing our blender and support equipment soon as well. Additionally, we are hearing of some clever entrepreneurs exploring opportunities in the power generation side of the emerging e-frac opportunity. Stay tuned. Within our Rig Technology segment, we've discussed our growing installed base of NOVOS operating systems across both land and offshore rigs, with 72 rigs running at this morning. Operators love it for the drilling optimization algorithms it provides, but we believe they will love it even more soon. That's because we expect to commercially introduce a new robotic pipe handling system for land rigs in 2021, one that operates seamlessly within the NOVOS digital environment. We believe the growing NOVOS installed base is the digital foundation for the industry's leap forward to automate drilling. In North America, it used to be that Tier 1 rigs require greater setback, higher top drives, high-pressure mud systems and walking capability. Now the new definition of Tier 1 rigs also includes digital rig enhancements like NOVOS, SoftSpeed and KAIZEN, which are driving further efficiency and safety improvements through artificial intelligence and machine learning. Fully automated slips to slips drilling has been a vision shared by many for decades. The possibility of removing humans from the well center greatly reduces safety risk and freeze up rig crews to focus on higher value-added activities. Drilling automation can raise the performance standards of experienced drilling crews by permitting them to focus on the big picture rather than on repetitive manual tasks. But here's the kicker. Our new robotic pipe handling system is very affordable. It's easily retrofittable into existing land rigs. We understand that capital is limited for drilling contractors these days, but we also know that E&P operators would strongly prefer a rig that can push-button trip, enabling the retrofit of the contractors' existing fleet at a very affordable price is a fantastic opportunity that we think will attract a lot of attention among oil companies. Rig Technologies is also seeing growing interest in its new PowerBlade power management system, which cuts diesel consumption and CO2 emissions on offshore floaters. Even though we've just introduced this new technology, our first customer in the North Sea is already looking at upgrading additional rigs to improve their competitiveness on ESG metrics in a crowded marketplace. Let me turn now to our Wellbore Technologies segment and speak to some real-world challenges our customers face as we all hurdle toward a digital utopia you've all been hearing so much about. Wells are drilled and completed and sometimes recompleted and then recompleted again, producing data for decades from many vendors and many sources. The data they generate is subject to limited or no data quality checks, is produced in multiple protocols with no standards around format. Consequently, oil and gas producers spend a significant amount of time and money cleaning, aggregating, formatting, translating and contextualizing data before any actual analysis happens. Furthermore, solutions reliant on cloud connections introduce lag problems and issues arise when remote communications are broken. And guess what, the oilfield operates in the remotest of locations, they often lack basic connectivity. Needless to say, these real-world complexities get in the way of easy real-time decision making. Individual E&P operators who roll up their sleeves and try to develop their own solutions to these problems frequently lack sufficient expertise and scale because deployment is limited to their own operations and the cost of maintenance and upkeep is hard to justify for all but the largest operators. Plus you have this whole technological obsolescence thing. Enter Wellbore's new max suite of edge and cloud technology, which we've been quietly developing for the past 3 years. We are going to the field next month for testing and expect to be commercial in 2021. Our value proposition is simple, enable our customers to use their own data and run their own businesses with a uniform version of the truth, both in office and in the field. NOV Max, NOV's new digital ecosystem, enables them to capture, aggregate, visualize and analyze their data in real-time at high speed on the edge in their cloud or in our cloud, in their office and at the well site, one version of the truth, both at the office and the well site in real time. Like a Bloomberg screen, our vision is to collect disparate data streams and then put them on a single screen, synced up and formatted and contextualized for easy use by the owner of the data. We are taking Max to market through Wellbore Technologies 80-year old MD Totco division, the leading provider of rig instrumentation services with global 24/7 support and boots on the ground throughout the oilfield. MD Totco makes sensors, both surface and downhole, which helps avoid garbage in, garbage out problems and data generation. NOV Max gathers and translates that data and can run customer-owned NOV or third-party analytics or applications at the well site or remotely while others require middleman, NOV provides all services and solutions sensor to screen, meaning we don't just connect to the data, we build the equipment that provides the data with the largest installed base of equipment in the industry, NOV products were most likely already at the well site and in place to gather data as the market leader in control systems, we speak machine language and can affect automation at the well site, a primary means by which customers can drive economic benefit from their data.  Max is built on new technology stack that lives at the edge, out in the field where work is done. This edge technology has to be robust, secure, connected and manageable at incredible scale. Available technologies just didn't fit the bill. So we developed Max edge to include military-grade encryption and TLS secure communication, keeping data and analytics safe. The solution handles 31 inbound industrial calls, including support for 12 kilohertz waveform vibration data on critical channels and 15 industry standard outbound protocols, including AWS IoT, Azure IoT hub and Google IoT core. I'm proud of the NOV engineers, programmers and scientists who are introducing new, better, safer and more efficient ways of developing and producing oil and gas during the worst quarter in the industry for more than 75 years. I'm also proud that NOV continues to pursue opportunities in renewable energy, building our strong position in the offshore wind and geothermal energy space. I said many times before that we view the transition to a carbon-free future as one of the greatest economic opportunities in human history. And I think capitalism will produce the solutions required. However, I want to stress 2 important points that guide our decisions with respect to resource allocation. The first is that we will remain true to our oil and gas customers. We will continue to bring them new and better technologies and support their operations despite the popular narrative that the world will soon abandon oil. We respectfully disagree and recognize that oil continues to lift people out of poverty and improve all our lives. There are currently more than 1 billion motor vehicles, 39,000 aircraft and billions of dollars of construction, mining and agricultural equipment around the world, representing tens of trillions in capital investment. It all becomes worthless overnight without hydrocarbons. While renewable sources of energy will certainly grow in the mix of the energy pie at the end of the day, oil and natural gas continues to be the fuels that power the world. The second point I want to make is that all of our investments in new products and technologies, both traditional oil and gas as well as renewables, are constrained by responsibility to be good capital stewards. We only aim at markets where we believe we can carve out a clear, sustainable competitive advantage. In the long run, fundamentals always prevail. When this crazy year passes and the economic shutdown fades, the world is going to need a lot more oil and gas and the world that will need this industry to get back to work. NOV is going to be there, leaner and meaner than we've ever been to make sure it has what it needs to do so efficiently and safely. The dedicated creative service-minded NOV employees, for whom we are so very grateful, will prove once again why they are the best in the world. With that, let me turn it over to Jose.
Jose Bayardo: Thank you, Clay. NOV's consolidated revenue decreased $112 million or 7% sequentially to $1.38 billion as our businesses felt the full effect of the sharp reductions in North American drilling activity that occurred during Q2 and the continued activity declines in most international markets. EBITDA decreased only $13 million as our relentless focus on reducing structural costs and improving operational efficiencies across the organization limited decremental margins to only 12%. During the quarter, we exceeded our $700 million annualized cost savings target. While we've surpassed our goal, we have a number of cost reduction initiatives that will carry into the next few quarters, and we will continue to work to identify additional ways in which we can improve profitability and return on capital for NOV. Our efforts to improve our working capital efficiencies, well we're making great strides in a difficult environment, are part of our ongoing efforts to improve return on capital. Our success in reducing working capital, along with our capital-light business model, is allowing us to deliver best-in-class cash flow generation. During the quarter, we delivered another $323 million in cash flow from operations and $274 million in free cash flow, bringing our year-to-date cash flow from operations and free cash flow totals to $740 million and $567 million, respectively. We expect to generate an additional $100 million to $200 million in free cash flow during the fourth quarter. Our resilient cash flows have enabled us to continue to strengthen our balance sheet while making meaningful investments in new product development and growth initiatives that will drive future growth for NOV, including the offerings that Clay just described. During the third quarter, we successfully completed a tender for $217 million of our senior notes due December 2022, leaving us with only $183 million remaining outstanding on these notes, which we expect to pay off with our cash on hand prior to the maturity date. Our next maturity does not occur until December of 2029. At September 30, our net debt totaled $339 million, with $1.485 billion in cash and $1.824 billion in debt. Moving to results from operations and outlook. Our Wellbore Technologies segment generated $361 million of revenue during the third quarter, a decrease of $81 million or 18% sequentially. The decline in revenue was in line with the sequential decrease in global drilling activity and reflected a full quarter impact of the sharp reductions in North American drilling activity and continued declines in international markets. Revenue declined 28% in North America and 12% in international markets, both in line with drilling activity levels. Continued progress on cost savings initiatives partially offset the impact of lower volumes and pricing pressures, limiting decremental margins to 26%. Our ReedHycalog drill business realized a 10% sequential decrease in revenue but achieved a modest improvement in EBITDA due to cost savings and improved product mix. U.S. revenues declined 26%, meaningfully outperforming the sequential decline in U.S. drilling activity levels, a result of industry-leading technology that is allowing the business to capture market share and help customers set drilling records. COVID-19 disruptions continued to hamper activity and caused project delays in international markets, particularly in Middle East and Africa. More recently, we're seeing countries in Latin America and Africa emerge from lockdowns, activity levels in the Middle East stabilize and North American rig counts increase off the trough established during Q2, giving us some optimism that we will realize modestly improved results for the business in the fourth quarter. Revenues in our downhole business unit fell sharply during Q3 as customers halted orders for drilling tools while they worked down existing inventories to levels better aligned with projected drilling activity. As activity begins to stabilize in international markets and improve in North America, we expect the destocking of these consumable products will be completed in relatively short order, resulting in a stabilization of this business unit's results in the fourth quarter. Our Grant Prideco drill pipe business also experienced a sharp decrease in revenues, a result of 2 straight quarters of limited order intake. A higher mix of larger diameter pipe deliveries and cost savings initiatives helped to limit decremental EBITDA margins. It will take time to alleviate the overhang of drill pipe from recently stacked rigs around the globe. However, we believe the tightening supply of drill pipe that we saw as recently as January of this year will shorten the time frame typically required to reestablish market equilibrium. While we are likely still a few quarters away from a strong inflection in demand, we are beginning to see pandemic-delayed international projects resume, additional opportunities for drill pipe risers emerge and drill pipe brokers and rental companies in the U.S. reengage, resulting in orders booked so far in Q4 already equaling half our Q3 total. Our Tuboscope business experienced a revenue decline of approximately 20%. The unit's U.S. and Eastern Hemisphere operations experienced particularly sharp declines in revenue as the falloff in oilfield activity and COVID-19-related shutdowns resulted in customers having more than ample quantities of finished tubulars in their possession to carry them through the quarter. With slowly improving activity levels in North America and fewer pandemic-related restrictions, we expect our Tuboscope operations will realize slight improvement in the fourth quarter. Our MD Totco business unit saw a 14% sequential decrease in revenue due to the continued activity declines in North America and the Eastern Hemisphere, which were only partially offset by improvements in Latin America. Our KAIZEN intelligent drilling optimizer, which employs artificial intelligence to help mitigate drilling dysfunction and improve performance, continues to be adopted by key customers in the North American market and now has 2 technical trials with large NOCs scheduled for this quarter. As Clay mentioned, MD Totco's technology portfolio is rapidly evolving, and we expect to see significant market penetration by several of these products in the near future. Our WellSite Services business unit experienced a high single-digit sequential revenue decline in the third quarter. Increased activity in the Gulf of Mexico, Trinidad and the North Sea, along with increased screen sales in the Middle East, partially offset sharp declines in Africa and the North American land market. More recently, business unit has nabbed some sizable wins in international markets including an order for 60 Brandt shakers to upgrade 15 jackup rigs in Asia and a contract for our proprietary hot oil thermal desorption equipment to treat drilling waste in Guyana. These awards, along with improving activity levels in North America, should result in improved results during the fourth quarter. As we've said many times in the past, our Wellbore Technologies segment is the most sensitive to real-time changes in global drilling activity and also carries the highest operating leverage of our 3 segments. Its leadership team has moved swiftly to rightsize the organization and stabilized results in unprecedented market conditions. For the fourth quarter, we expect revenues for our Wellbore Technologies segment to improve 1% to 3% sequentially, with incremental margins in the 30% range. Our Completion & Production Solutions segment generated $601 million of revenue in the third quarter, a decrease of $10 million or 2% sequentially. Strong execution on international and offshore project backlogs mostly offset limited demand for our shorter-cycle products and aftermarket parts and services. EBITDA declined $5 million to $63 million or 10.5% of sales. Orders for the segment fell 14% to $169 million as the lockdowns and ongoing uncertainty associated with a pandemic caused customers to defer decisions on new projects. Encouragingly, we have seen a sharp increase in activity around pre-FEED studies and general tendering activity in the last few weeks. We are cautiously optimistic that order intake bottomed in Q3 and believe the actions we are seeing bode well for more meaningful improvements in 2021. Our Fiber Glass Systems business unit achieved a small sequential increase in revenue. Sizable deliveries of large diameter, high-pressure pipe in the Middle East and continued solid performance from our fuel handling business more than offset lower revenue from our marine customers who are postponing deliveries of scrubber systems. The global pandemic has caused an unexpected glut of middle distillates, usually processed into jet fuel to be used in the production of inexpensive, very low-sulfur fuel oil, making marine scrubbing systems and uneconomic investment for our customers until the historical price spread between very low sulfur and high-sulfur fuel oil returns. New orders from our Fiber Glass Systems business have not been sufficient to offset large recent shipments, leading us to expect a sequential falloff in Q4 revenues. Our Process and Flow Technologies business unit posted a 10% sequential increase in revenue due to strong project execution on offshore production-related backlog and due to the easing of COVID-19-related lockdowns, which allowed our production and midstream operations to deliver delayed shipments of reciprocating pumps and chokes into Latin America, the Middle East and Africa. While orders for our Process and Flow Technologies business remained soft in Q3, a still solid backlog in the unit's APL turret mooring and Wellstream Processing operations should allow for additional growth in Q4. More importantly, pre-FEED studies and tendering activity have picked up, particularly for our APL operation. We believe our customers are preparing to get back to work on large projects in 2021 and expect orders to start to pick up modestly to support their plans. Our Subsea flexible pipe and XL Systems businesses each experienced sequential revenue declines as 3 straight quarters of customers pushing orders to the right began to affect operating results. We expect both businesses to see additional revenue declines in the fourth quarter, but tendering activity has improved modestly, giving us some optimism that bookings could improve in Q4. Our Intervention & Stimulation Equipment business saw a 9% sequential decline in revenue. Despite the uptick in North American and completion-related activity, the market remains sufficiently oversupplied, which has resulted in limited demand for new equipment and customers deferring the purchase of new spare parts by cannibalizing idle assets. As expected, sales of most consumables took another step down in Q3. However, we continue to realize increasing market adoption of our FlexConnect frac hose and demand from new coiled tubing strings improved more than 50% from the record low we experienced in Q2. More recently, we've seen a pickup in demand for coiled tubing equipment aftermarket service and repair work. And we continue to engage in a growing number of discussions with international customers regarding pressure pumping, coiled tubing and wireline equipment, driven by increasing demand from multistage fracture stimulation services in markets outside North America. For the fourth quarter of 2020, we anticipate revenue from our Completion & Production Solutions segment will decline 6% to 8%, with EBITDA margins decreasing between 200 and 400 basis points as a result of less favorable revenue mix and increasing pricing pressures. Our Rig Technologies segment generated revenues of $449 million in the third quarter, a decrease of $27 million or 6% sequentially. Third quarter revenues reflect a mid-single-digit sequential decrease in revenue from capital equipment and a 3% sequential decline in the segment's aftermarket sales. The slowing rate of revenue declines provided better visibility into the impact of the segment's efforts to reduce costs and improve operational efficiencies we're having on results, with EBITDA improving $14 million to $28 million, or 6.2% of sales. Pandemic-related logistical challenges remain as the virus continues to pop up in clusters around the globe and governments react with shutdowns and travel restrictions, but we are learning to mitigate the extra cost and disruptions to our operations and are doing everything we can to support our customers where they need us. The impact of the economic turmoil caused by COVID-19 is perhaps most apparent in the segment's Q3 bookings, already burdened by stretched balance sheets, several of our larger offshore customers made the difficult decision to enter the restructuring process during the quarter, which put a stop to new orders. Drilling contractors in general are doing all they can to preserve cash in this difficult market and have reduced spending accordingly. Segment realized a 23% sequential decline in capital equipment bookings, resulting in $57 million of orders and a book-to-bill of only 29%. Despite the tremendous stress our customers are under and the amount of idle drilling equipment that exists around the world today, we continue to believe that our industry-leading franchise is attractively positioned for the future as operators continue to demand use of better technologies to drive efficiencies in their drilling operations. Even as we sit here today in an environment with record low drilling activity levels and only 6 months removed from negative oil prices, we're having dialogue with multiple customers around the world who still want to upgrade the capabilities of their drilling equipment. We still see demand for new high-spec land drilling rigs in the Middle East and in Latin America. We've had steady demand from new top drives in multiple markets in Asia, and we've recently booked orders from a U.S. drilling contractor to upgrade several of its stand transfer vehicles, iron roughnecks and top drives. This need to continuously upgrade capabilities also exist in offshore markets. Operators are demanding the latest technologies as they look to reduce their environmental footprint, think our PowerBlade Systems. And as they seek bigger prizes found in more challenging environments, think NOV's, 20,000 psi BOP stack, which recently won the World Oils award for best drilling technology. Even with the unprecedented market challenges on our offshore -- our offshore customers are facing, they're still talking to us about major upgrades for rigs that will be reactivated in the not-too-distant future. Additionally, the segment's renewable business is beginning to see more wind turbine installation vessel projects come to fruition. As a reminder, we expect approximately a dozen of these vessels will be ordered over the next couple of years, and we remain confident in our ability to win our fair share of the project awards. While a firm recovery in the market for our traditional capital equipment business remains ways off, we believe Q3 marked the bottom for orders. And based on discussions with customers, we currently expect to achieve a book-to-bill of around 100% for the segment during the fourth quarter. We also expect Rig Technologies financial results to improve slightly compared to Q3, with revenue increasing between 1% to 3% and incremental margins in the mid-20% range. With that, we'll now open the call up to questions.
Operator: [Operator Instructions]. Our first question comes from Bill Herbert with Simmons.
Bill Herbert: Jose, so just in the category of dreaming here a little bit and contemplating life kind of returning to a semblance of normalcy. So OPEC spare capacity normalizes back to kind of the historic range, our lives normalize, demand is much closer on a global basis to pre-pandemic levels and this converging with the austerity narrative of E&P leads to a reinvestment cycle and your clients taking more steps forwards and backwards. Let's just call this for grants at 2022 outcome. And I'm just curious, given how much inventory you've drawn down over the past few quarters, what would be your working capital intensity responding to that kind of recovery narrative? And the reason I ask the question is because, at least on my numbers, your free cash flow yields, call it, on a semblance of mid-cycle are just huge, assuming that working capital is reasonably contained. So I think kind of understanding the working capital intensity from this point forward is key.
Jose Bayardo: Yes. That's a really good and observant question, Bill. And yes. As you know, the organization has been just relentlessly focused in terms of improving the capital efficiency overall with a big part of that focus being on reducing our working capital intensity, again, across the board. And so we've made really good headway over the last year or so in terms of bringing down that working capital intensity. But we still have quite a ways to go on that front, right? So you look at this last quarter, roughly somewhere between 36% and 38% working capital as a percentage of the revenue run rate. We've been significantly lower than that in the past and certainly expect to get significantly lower than that level. Obviously, we've had a lot of headwinds in terms of bringing that level lower with its -- with as Clay described, the worst quarter from a top line perspective, really the oilfield has seen in really maybe ever. But the other part of what's occurring is big transition in terms of our revenue streams, big shift occurring from revenue coming from North America to now becoming much more predominantly weighted on the international markets. This last quarter, only 26% of our revenue came from North America. And as you know, if you look at what we do in international markets, much longer cycle times in terms of the time period in which inventory resides in our locations and also the average collection time period takes a little bit longer. But we're getting better at all facets of managing inventory and expect all of our metrics to continue moving in the proper direction over the course of the next year or two. So long way of saying that even though with the recovery, intuitively, you have a bigger build in working capital to take care of that business. I don't think it would -- it's not just a matter of keeping the metrics flat and taking that forward. The metrics will improve, mitigating the amount of working capital that we need to build in the future.
Bill Herbert: So it's not just kind of better management of working capital, but it's also the revenue mix shift to international, where the inventory is stickier and thus the headroom for growth that you have with regard to your international ops is much more generous? Is that fair?
Jose Bayardo: I guess what I'd say is that just we will get better than we have been. Historically, international has been more challenging from a working capital management standpoint. And there's more opportunity for us to improve those working capital metrics.
Clay Williams: I think more around the payment terms that we typically get internationally. Impacting that. But going back on this question, Bill, and it is a great question. What I would really underscore is that this is -- our folks have just gotten a lot better at it. And it's the muscle memory, I think, that they've learned around working capital management through this downturn. And you've seen the results, we just get better and better. And that's the key thing. This is -- it's partly math, but it's -- a lot of it is culture, too.
Operator: Our next question comes from Tommy Moll with Stephens Inc.
Thomas Moll: I wanted to start on the cost out initiatives. It sounds like you've now exceeded the $700 million run rate target in advance of year-end, but that there could also be some additional opportunities next year. Understanding that you still need to go through the full planning process, I would ask, nonetheless, can you give us any insight on what buckets of cost you may be able to attack going forward? And is there any way to frame up the magnitude of that opportunity?
Clay Williams: Yes. Fair question, Tommy. And so yes, as you pointed out and we touched on in the prepared comments, we're really pleased, not only with improvement in working capital management, but kind of goes hand in glove with the efforts that we're undertaking across the organization just to get leaner, meaner, more efficient and just much better in terms of how we manage the business. And that's how we think about the cost savings initiatives, which, as you know, were all structural cost savings that we're pushing through the organization. Since we started this process really in Q1 of 2019, we've continued to find more opportunities and reach our targets more quickly than we generally anticipate, and that also took place this quarter really going well beyond our expectations and hitting the full year-end target. So as we sit here today, there are still more of those initiatives that are flowing through the system that will flow in, in Q4 and also through the first few quarters of 2021. And as you've astutely observed, this is a time period in which we go into our annual planning process, and that process is pretty intensive. And we tend to poke and prod a lot of different areas within the organization. And we inevitably expect to find additional opportunities to continue to refine and get more efficient as an organization. So we're not prepared at this time to put new numbers out there, but we're optimistic that there is more to get. And we will continue to do our part to get the operation properly sized with the market environment that we see over the coming quarters and years.
Thomas Moll: Fair enough. Will stay tuned. Shifting to capital allocation and portfolio. Maybe a question for Clay. We've started to see some M&A now that the energy markets have stabilized, albeit at low levels. And a lot of folks participating today as well as yourselves, have no doubt, noted some peers who had divested some noncore low-margin platforms. So any update on likelihood of whether we might see something similar from you guys? And then maybe as a nonmutually exclusive alternative, what's the level of appetite as a potential buyer of assets in this environment?
Clay Williams: Well, as we mentioned, we continue to prune our own portfolio, and we've made a number of adjustments to that around businesses that weren't earning adequate returns and didn't and maybe perhaps lack the path to that we could see clearly to get to adequate returns. And so like others, we're doing that on the one hand. On the other hand, we've got a long and rich history of being an acquirer in this space. We've continued to look at opportunities sort of influencing our view of those, though, is, number one, we clearly need to be a better owner. We clearly need to see a way in which we can carve out competitive advantage in those opportunities. Number two, we recognize that the cost of capital in traditional oil and gas business has been rising and asset value should be falling concurrent with that. And so we've been very disciplined on kind of our approach to valuations. And -- but what our emphasis has been over the last couple of years as we sort of move through this more challenging period has been probably a little more around organic technology development.  So the products that I talked about earlier, several of the things that are underway. What we find is that that's in a lot of ways, is the most capital-efficient way to carve out competitive advantages to build on our franchises, build on our channels to market, our global presence, bring better technology to both our traditional oil and gas customers as well as the renewable space. And so I think that's sort of -- if you look back, that's been our track record in recent quarters.
Operator: Our next question comes from Kurt Hallead with RBC.
Kurt Hallead: Clay, I wanted to maybe follow-up a little bit more in the context of your commentary around developing some of the new e-frac technology. And you've made a great analogy about how the U.S. land rig market transition from mechanical rigs to AC rigs, took like a 10-year process for that to really gain full traction. As you kind of look forward from where we are now in the difficult market environment that a lot of these companies that participate in frac face, challenging cap structures and challenge to generate free cash flow. What's your thought process on how long this transition from traditional frac to e-frac may take?
Clay Williams: Well, a lot of it depends on the appetite by the E&P customers of the frac companies. I think given the more challenging economic environment that we are in now versus kind of where we were in 2005, 2006 means that there's going to have to be more pull by the oil companies on this technology. And that's going to be sort of the catalyst, I think, that makes it happen. I think if the E&P companies continue to move up the curve on being more demanding around reducing their ESG impact to their frac operations that can accelerate the adoption of the technology. The pressure pumpers will figure out a way to find the capital and if those purchase orders are backed by some sort of term structure where the pressure pumpers can see their way clear to pay back, I think the investments can be made. And so that's probably what's required. The second sort of wildcard in all of this, so is how the power provision ecosystem sorts itself out. There's options now in terms of how to power these frac jobs using turbines on location or using gas-powered gensets on location or using line power. And so one of the cornerstones of our development, and I think I mentioned this earlier, is that it's really power agnostic, at 13.8 kV, it accepts all of the above. And so we've tried to design as much flexibility as we can with respect to the power question.
Kurt Hallead: That's great. And Clay, you kind of teased that a little bit earlier about the prospect of maybe a two year contract. So I assume when you talk about things on a call like this, you have some additional insights from conversations with varying parties. So do you think that's something that could potentially come out here before year-end? Is it more likely sometime in 2021 before you can see a frac company get a contract for any fleet?
Clay Williams: Look, there's a lot of interest in this technology. We've talked to a number of customers about it. We're excited about it on the one hand. On the other hand, things are pretty tough out there, Kurt, and very fluid. And so time will tell. But what I'm most pleased about is the fact that we've come to market with a really tightly integrated, thoughtful system that's a big leap forward on reducing the ESG impact of fracking operations for shale operators, which is really something the market wants. And so I think in the long run, this is going to be a very important development for the E&P companies. Can't tell you sort of precisely which quarter that starts to really roll out in a big way. But again, I want to stress a high level of interest from pressure pumpers in this.
Operator: Our next question comes from George O'Leary with Tudor, Pickering, Holt.
George O'Leary: The global technology side, just given that can be the fastest cycle portion of your business, it's a business where you've taken a lot of costs out of the equation of late, and you can see that bearing fruit in the margins and the incremental, decremental margin performance on a quarter-on-quarter basis. Can you just remind us -- I know you said 26% overall revenue came from North America. Remind us kind of the mix of that business, in particular, the revenue mix in North America versus international? And then any green shoots you guys are seeing by product line? And whether that is more just the North America situation at this point? Or if there are any green shoots on the international front as well?
Clay Williams: No, the mix is -- in the third quarter, was 38% North America, 62% international for Wellbore Technologies. So in keeping with NOV overall, it's a greater share of the mix is international. With respect to green shoots, yes, we -- we're 40, 45 rigs off of bottom in North America from August. And so that's helpful. We're hearing stories of operators that are getting real granular on putting rigs back to work to get up to a maintenance level in North America. So that's going the right way. But the green shoots aren't limited to North America. As we mentioned a couple of times earlier, we think the international markets are stabilizing. And after some pretty good-sized falls in Q3 and then we're hearing about green shoots there as well. So for instance, a major operator in the Vaca Muerta in Argentina is picking up rigs going back to work. Greater activity outlook in Colombia. In the Middle East coming off bottom. There's a couple of programs that we expect to get kicked off on the land side. Offshore, I know of 3 IOCs that plan to get a little bit busier in West Africa, Brazil, Guyana. We're hearing about more drilling activity that's likely coming up there. And then in the North Sea as well, a lot -- a little greater level of activity perhaps helped by the temporary tax relief that the Norwegian government put in place. And so there are green shoots out there. I don't want to overstate them. They're still a very challenging market. You've got oil prices kind of range bound at the $40 range. An uncertain sort of trajectory from here around continued pandemic lockdown, demand for oil still remains a big wild card and so a lot of uncertainty out there.  But nevertheless, what investors may not fully grasp is that even in a declining production environment, there's still some level of work that needs to happen in the oil field, drilling, completion, recompletion, to maintain these assets and to be good stewards of the resource. And so I think the industry -- the whole industry felt like it went into a defensive bunker in Q3, and it's emerging out of that and working its way back towards a little higher level of sort of just good stewardship of their resources, which requires a little more activity. And keeping with prior downturns, North America is usually the first to go down and the first to start to bounce back. And then international markets, which have longer-term projects, that are a little more dominated by NOCs, are a little bit slower. And so we we're hopeful that international has stabilized, and now we'll start to see it turn the corner, but look, time will tell.
George O'Leary: That's very helpful. And then wind is something we're getting incremental questions about with respect to a number of services companies, but you all, in particular, pop up as we chat with clients. And just wondering if there's any way to frame the kind of market potential there over some medium-term time rise in the next 12 to 24 months and the potential size of kit that NOV could win per vessel? Just any way to think about that market, size of that market would be incredibly helpful.
Clay Williams: Yes. George, I think you asked about wind. I think I heard you say about offshore wind?
George O'Leary: Yes, yes, on the marine investment side. Yes.
Clay Williams: Yes. Sure. Sure. So yes, we're very excited about this. And I think we said a quarter or 2 ago, I think a dozen new installation vessels for the offshore is a reasonable outlook for the next few years. We can win up to $70 million worth of kit on the larger vessels. And the vessels are getting larger. Just by way of background, what's going on in that space is that taller towers are more capital efficient. They access higher elevations, the wind blows steadier and harder at higher elevations. And so as the towers get taller, the owners of these projects get better returns.  And so in recognition of that, GE, which is a major turbine provider, is coming out with a new 12-megawatt tower, I think, in 2022 and then Siemens Gamesa is coming out with a 14-megawatt tower in 2024. And these things are enormous. There are 500 feet at the hub, which is the size of a 50-story building and 700 tons. And you can imagine the kind of equipment that's required to put a 50-story building out in the middle of the ocean. It's pretty massive. And the world just doesn't have a fleet to do that. And so we're very pleased with the position that we are in as a leading provider of offshore wind turbine installation equipment and look forward to continuing to participate in that market going forward.
Operator: Our next question comes from Sean Meakim with JPMorgan.
Sean Meakim: So Clay, you all have been really focused on digital initiatives. You're enabling your hardware to work smarter, work better. One of the silver linings of the pandemic is this acceleration of customer focus and adoption of digital practices, both E&Ps and services. Could you talk a little bit about your strategy regarding value capture versus transfer? So in other words, how you expect to capture more of the value versus how much needs to be shared with customers to drive more volumes and share? I imagine this could vary quite a bit across product lines, but trying to get a sense of how you think about that key piece of creating value for NOV?
Clay Williams: It's a great question. Look, nobody buys anything unless it's a win-win solution, right? And so our customers have to see value in whatever we're providing at the price that we're charging. That's very clear to us. And so we work very closely with our customers to understand that, but to make sure that we really are adding value to what they're doing. And so that was a big part of our NOVOS development as part of the reason we've had such great acceptance of the NOVOS operating system across the rig fleet globally. We'll hear more recently with the shutdown and all the travel restrictions, we're seeing a lot of demand for our tracker vision system, which uses augmented reality to -- and real-time communications with our subject matter experts around the world to enable our customers to do installation of equipment, repair of equipment, a commissioning of equipment. And so the COVID-pandemic shutdown has really accelerated demand for that technology on the Max suite of digital projects -- products that I described earlier. Likewise, that really started with some heart-to-heart conversations with oil and gas companies around what -- where NOV could help them. But with respect to pricing, we -- as we always do, need this to be a win-win. NOV shareholders need to benefit from the investments that we're making and the really, really creative ideas that our employees come up within these areas and as well, the customers who use these products to prove their own operations. And so we always look for a fair split of that economic rent.
Sean Meakim: I appreciate that. And I appreciate the feedback on offshore wind, too. I thought that was helpful. There are also other areas that have gotten a lot of attention outside of oil and gas or, particularly after the EUs transition announcement this summer, hydrogen, in particular, has gotten a lot of attention. You guys are always in the market looking for M&A opportunities. Are you able to maybe just give us a little more view into how you see these other alternative energy channels beyond offshore wind? And where you see pathways that could make sense for NOV versus those that are more difficult to bridge from your current portfolio to these new opportunities?
Clay Williams: Yes, great question, Sean. I'll start with cost of capital. Earlier, I mentioned cost of capital appears to be rising for oil and gas companies. In contrast, on the renewable side, cost of capital is plummeting. And there's a lot of capital chasing opportunities in that space. We've looked at M&A. We've done some small investments here and there. More sort of rifle shot things. We're continuing to look for opportunities there. But it's a little more crowded landscape. So in view of that, our approach, and this kind of fits with what I was saying earlier, our approach has been more around home growing organic development and building on the strengths that our organization have in the renewable space. And so -- which are considerable. I mean, I don't know another company on the planet with smarter, more creative, more talented engineers and scientists, and we try to just get out of their way and let them think through ideas and opportunities. And the ones that carry a view towards competitive advantage, those are the things that we're funding. And so yes, we're looking in all areas. With respect to hydrogen, we're looking at a couple of things. But other areas in the renewable frontier at the moment, probably had a little better fit to our skill set. And I think have a clearer path for the creation of competitive advantage. But I'll repeat what I said in the -- at the beginning in my prepared remarks is that we've got to be good capital stewards through all of this. The funding, the execution of these business plans need to earn a financial return. And that really only remains for the long haul when you have competitive advantage. And so that constrains all that we do.
Operator: And I'm showing no further questions in the queue at this time. I'd like to turn the call back to the speakers for any closing remarks.
Clay Williams: Jimmy, thank you. I want to let our listeners know that our friend, Loren Singletary, has elected to retire from National Oilwell Varco. And I know like us that there are many well-wishers out there. And so we thank Loren for his 22 years of service to NOV, and we wish him the best in retirement. I want to thank all of you for joining us today, and in particular, any NOV employees that are out there listening. This has been an unbelievably challenging year. But I got to tell you, your persistence, your perseverance to tune out the noise and get the job done for our customers when and where they need us, has been awesome. I'm so proud and grateful for each and every one of you, and thank you all and ask that you keep it up. So we look forward to talking to you on our next call in early February. Thank you.
Operator: Ladies and gentlemen, thank you for your participation of today's conference. This concludes your program, and you may now disconnect.